Operator: Good day and thank you for standing by. Welcome to the Canadian Apartment Properties REIT Second Quarter 2021 Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer session.  I would now like to hand the conference over to David Mills. Please go ahead.
David Mills: Good morning, and thank you, Christie. Before we begin, let me remind everyone that the following discussion may include comments that constitute forward-looking statements about expected future events and the financial and operating results of CAPREIT. Our actual results may differ materially from these forward-looking statements. Such statements are subject to certain risks and uncertainties. Discussions concerning these risk factors and forward-looking statements and the factors and assumptions in which they are based can be found in CAPREIT’s regulatory filings, including our Annual Information Form and MD&A, which can be obtained at sedar.com. I’ll now turn things over to Mark Kenney, President and Chief Executive Officer.
Mark Kenney: Thanks, David. Good morning, everyone, and thank you for joining us. Scott Cryer, our Chief Financial Officer, is also with me this morning. Let’s get started. As shown on slide four, we generated another strong period of growth and strong performance in the second quarter. Revenues were up driven by the contribution from our acquisitions, increased monthly rents and continued high occupancies. Stabilized NOI increased 2.9%, with NFFO up 5.7%, while maintaining a very strong payout ratio of 59.8%. Our growth also remains accretive to unitholders with NFFO per unit up 4.3%. Turning to slide five, we continue to generate the same strong performance and resiliency through the first six months of 2021 as we did through 2020. All of our key benchmarks were up over last year, including revenues, NOI and NFFO, with NFFO per unit rising 3%. It was another period of accretive growth for our unitholders. Looking ahead, we expect the balance of the year will show rising occupancies, accelerated growth and much improved operating performance as the pandemic eases and we return to more normal markets and operations. From an operating perspective, our ability to generate solid performance in both good and bad times is clearly demonstrated by the results for our stabilized portfolio, as you can see on slide six. Occupancies remained strong while net average monthly rent rose again, driven by modest pandemic affected increases on turnovers and renewals. Our track record of organic growth also continues with same property NOI up a solid 2.7%, while maintaining a strong NOI margin of over 65%. We believe that we’re turning a corner, with a successful vaccine rollout and a return to more normal markets. Our leasing and marketing programs continue to generate a track record of solid occupancies, as you can see on slide seven. After approximately 18 months operating under the significant restrictions due to the pandemic, our occupancy has remained highly stable. We expect occupancies will steadily improve through the balance of the year as the pandemic eases. We are already seeing an increase in the interested in-person and online potential resident visits, with strong and accelerating demand for our affordable, high quality and spacious suites. It’s also important to note that we experienced very few collection issues as we work with our residents to ensure that we collect our rents as efficiently as possible. Bad debt as a percentage of total revenues remains small and manageable, and generally in keeping with our normal collections track record. We see bad debt levels reducing further through the rest of 2021. A key factor in our ability to generate solid results during the pandemic is the solid increase in rents on turnover that we are achieving as shown on slide eight. Clearly turnovers continue to be impacted by the ability of our residents to move or personally visit our properties. However, a 4.2% increase on turnover in the Canadian portfolio is a solid result and we expect to return to our more traditionally higher increases on turnover once the vaccine rollout is complete and the pandemic eases. Also remember that last year’s first quarter was not impacted by the pandemic. It’s also important to note that our churn is increasing up to 9.4% from 7.2% last year, a good sign that we will start to see more and higher mark-to-market rent increases in the quarters ahead. Renewals continue to be affected by the rent increase raises legislated in Ontario and British Columbia. Over the last few months, we have slowly been implementing modest rent increases in certain other markets where possible in consultation with our residents. Looking ahead to next year, Ontario’s 2022 rent guideline increase of 1.2 %. It’s good to see after no increases this year. Importantly, we’ll be implementing this increase in Ontario effective January 1, capturing a full year of increased income. We hope to employ the same strategy in British Columbia once we learn the guidance -- guideline increase. As slide nine shows, we believe that we’re starting to see a recovery in our rental rates on turnover and look to be getting back to much higher levels of increases we generated through 2019 in the first quarter of 2020, prior to when the pandemic set in. As I said before, we are confident that the balance of this year we’ll see a return to more normal market fundamentals. We are already experiencing more in-person and online visits by interested residents, and expect our increasing occupancy will contribute to our ability to generate stronger mark-to-market rent increases. We believe the worst of the pandemic is now behind us and we will see recovery in our business going forward. As slide 10 shows, we continue to increase the size and scale in our property portfolio in both Canada and the Netherlands. In 2020, we added 3,262 suites and sites for $820 million. So far this year, we have acquired 1,864 suites and sites in Canada for $377 million and another 137 suites in the Netherlands for $73 million. We’re also pleased to have completed the buyout of another of our remaining two key operating leases earlier than scheduled, resulting in a 19% discount to the agreed price in the buyout. As of the end of Q2, we only have two operating leases remaining. Throughout most of last year and into 2021, our ability to invest in our properties was significantly curtailed by the pandemic and our focused on conserving cash. Now with the end of the pandemic in sight, we are ramping up our efforts to further enhance value and income producing potential of our property portfolio. As you can see on slide 11, investments in suite and common area improvements have increased this year, ensuring that our properties remain the most attractive in our markets and providing residents with safe and comfortable homes. Our investments in energy saving initiatives are reducing costs and helping us to improve our environmental footprint, a key goal of our ESG programs. And all of these key investments served to increase NOI more quickly compared to other investment categories. Hopefully, for the last time, we are including slide 12 in this morning’s presentation, outlining the many successful initiatives that we have introduced to mitigate the impacts of the pandemic. As we have discussed over the last five quarters, we began early in 2020 to implement programs aimed at getting closer to our residents, communicating with them, understanding the issues facing them and helping them stay in their homes, while at the same time collecting as much rent as possible. We believe these initiatives have provided effective and have had a positive impact on our cash flows, with strong and stable rent collection. We were very pleased to see leasing activity pickup in the second quarter, with a total of 4,200 leases arranged, up significantly from 2,400 in Q1. As the vaccine rollout continues, we expect to see our visits to our properties to accelerate even further in the months ahead. I’ll now turn things over to Scott.
Scott Cryer: Thanks, Mark. Turning to slide 14, you can see that we maintain our strong financial position at quarter end, with a conservative debt to gross value and continuing high liquidity. Our over $1.5 billion in Canadian unencumbered properties provide additional liquidity should it be needed. In addition, we have $250 million available through our credit facility and $120 million in cash at quarter end. In total, if we were to access all these sources of capital we would have available liquidity of over $1.8 billion and even if we did this our leverage ratio would still remain a very conservative 42%. Looking at our financing through the first six months of the year, we locked in a very low interest rate of 2.4% on our refinancing and top-ups, and extended our term to maturity. We expect we’ll continue to benefit from the current low interest rate environment for some time. At quarter end, over 99% of our mortgages incurred a fixed interest rate. In June, we renegotiated and closed on our new credit facility, which will now have a term of three years and a decrease cost of 30 basis points over the previous margin. This also provides for more flexibility over our unencumbered asset pool and a better security package for CAPREIT. We were also pleased to see another significant increase in the fair value of our Canadian property portfolio, increasing $13 million so far this year following a $750 million increase at the end of 2020. This is excluding the impact of net acquisitions, our operating lease buyouts and the foreign exchange. As you can see on slide 15, we continue to capitalize on the current low interest rate environment, reducing interest costs in Canada and extending the term to maturity. The ability to capture strong spread and low interest cost in the Netherlands is also contributing to our lower overall interest cost and extending the term. Of recent interest, we actually just closed or committed to a conventional-based mortgage where pricing is becoming extremely competitive. So this creates an alternative to the CMHC financing program, definitely something that’s a positive backdrop for the REIT. Further to our strong and flexible financial position, looking back over the last few years, you can see on slide 16, that we have met our goal of maintaining very conservative debt and coverage ratios even through the pandemic. This conservative approach underpins the stability and resiliency of our business and the sustainability of our monthly cash distributions to unitholders. This focus on maintaining the strongest balance sheet in our business will continue going forward. Our mortgage portfolio remains well-balanced, as shown on slide 17. As you can see in any given year, no more than 13% of the total mortgages come due, thereby reducing risk and a rising interest rate environment. Looking ahead, our current ability to top-up renewing mortgages to 2035 will provide further significant liquidity. You can also see that we have considerable opportunity to reduce our long-term interest cost in today’s attractive interest rate environment, with the current five-year and 10-year estimated rates of approximately 1.7% and 2.2%, respectively, are well below expiring mortgage rates of between 2.8% and 3.3% over the next three years or four years. I’ll now turn things back to Mark to wrap up.
Mark Kenney: Thanks, Scott. Looking ahead, we see a number of very positive value drivers that we are confident will generate strong and growing returns for our unitholders over both the short- and long-term. Turning to slide 19, we see the three key drivers of unitholder value in the months and years ahead. Accretive portfolio growth will continue based on our proven and successful asset allocation strategies. We are experiencing a strong pipeline of accretive acquisition opportunities and expect to see solid growth in the quarters ahead. Importantly, the current low interest rate environment provides significant opportunities to acquire properties with strong cap rate spreads and to reduce interest costs on our refinancing initiatives. Our industry-leading balance sheet, leverage and liquidity also position us for growth going forward. We believe that we will also benefit from a number of market trends as the pandemic eases in the months ahead, including increased immigration, a return to office and in-person learning, and the increased affordability alternative of our high quality rental portfolio compared to the significantly higher costs of home ownership. In addition, our ongoing investments in our properties and our operating platform are enhancing the attractiveness of our portfolio, improving efficiency, driving revenue gains and reducing costs. Let’s have a quick look at each of these value drivers. We will continue to focus on our proven asset allocation strategy to accretively grow our portfolio, as detailed on slide 20. We primarily target value-added apartment properties in the mid-tier segment in very well located suburban markets in and around Canada’s three largest cities, Toronto, Vancouver and Montreal. We are acquiring these properties at well under 50% of replacement cost and improving our ability to invest in them to increase value. Cash flows remained strong and highly stable due to their very affordable rental rates. Our second focus is the Canadian MHC sector, revenues are highly stable and with residents owning their own homes, capital requirements and maintenance needs are significantly reduced. With home ownerships costs rising across the country, manufactured housing provides a real alternative as prices have not appreciated to the same extent. Our third focus is on Europe, dividends from our ownership interests are strong and stable, while fee income for our asset and property management services continue to grow. As one of the only professionally managed operating platforms in Europe, the opportunity for enhanced value are significant. We are also capitalizing on very low European debt to finance our growth at attractive returns. Key to our growth in the coming months will be our ability to capitalize on a number of market trends as we return to pre-pandemic conditions. Demand for our quality properties will grow, as immigration accelerates, with new Canadians seeking affordable homes in our largest urban markets. The return of international students will also contribute to increased demand. The pandemic generated, what we call, household consolidation, as students and young people return home to save costs and be in the safety of their family. We see these young people returning to rental accommodation as offices reopen, in-class learning returns and fear of the pandemic eases. Demographics are also on our side, as the growing seniors’ population looks to the rental market to meet their needs. Canadians over 65 are forecast to account for over 23% of the Canadian population by 2030. We believe our quality and well-located properties offering more space on one floor at affordable rates will see increased demand by seniors looking to capitalize on the significant equity they have generated in their homes. We also see families looking to quality rental accommodation as a highly affordable alternative to the increasing cost of homeownership. Additionally, cash flows will increase as we prudently and responsibly increase rents where possible. Finally, our ongoing property investments, as outlined on slide 22 are, reducing cost through energy savings and other initiatives, enhancing resident safety and making our properties more attractive to meet demand from potential residents, our technology solutions are increasing our operating efficiency and helping us meet our ESG commitment to enhance environmental performance. All of these investments are generating strong increases in our net asset value. As Scott mentioned, we recorded a $596 million gain in the fair value of our portfolio in 2020, with another $357 million through the first six months of this year. With increasing demand and little new supply of rental properties, we believe the value of our asset base will only grow going forward and provide another strong driver for unitholder value over the long-term. In summary, we remain very excited about our future. Our focus on the mid-tier sector meets increased demand for affordable, high quality homes. Our predominantly suburban locations outside downtown cores and our larger size suites, townhomes and manufactured homes are meeting the needs for renters seeking more space. We are experiencing a strong pipeline of accretive acquisition opportunities and expect to see solid performance portfolio growth in the quarters ahead. The continuing low interest rate environment provides significant opportunities to acquire properties, with strong CAPREIT spreads to reduce interest costs on our refinancing initiatives. Our industry-leading balance sheet, leverage and liquidity position us for growth going forward. And with demographic trends and increasing immigration we are confident we will continue to drive value for our unitholders in the years ahead. In closing, I want to once again thank everyone at CAPREIT for their hard work and dedication over the last 18 months, and also to our residents for their patience during these challenging times. Looking ahead, we are confident we will return to more normal market conditions and resume our 25-year track record of growth, strong operating performance and delivering enhanced value to our unitholders. Thank you for your time this morning and we would now be pleased to take any questions that you may have.
Operator: Thank you.  And your first question is from Jonathan Kelcher of TD Securities.
Jonathan Kelcher: Thanks. Good morning.
Mark Kenney: Good morning, Jonathan.
Scott Cryer: Hi.
Jonathan Kelcher: First question, just on the recovery, it sounds like you guys are seeing at least the beginnings of it. What markets would be strongest or further ahead and what markets are -- would still be lagging?
Mark Kenney: We’ve seen faster than expected recovery in the suburban markets, and I’ll say the submarkets in general, places like Ottawa, Victoria are doing exceptionally well. The markets that are recovering but are lagging or are the, I would say, core Toronto, core Montreal. And I guess, I would attribute that to a couple of things, that’s where the pandemic was felt the hardest and also the return of international students. We’ve seen recovery in the universities that have domestic students, places like Alberta and Nova Scotia. But where we’ve seen reliance on international students, it’s lagging. We would expect to see that recovery really kick in in the months ahead.
Jonathan Kelcher: Okay. That’s helpful. And then, I guess, next is just switching gears a little bit on the strike the acquisition market. It sounds like you guys are going to be active in the back half of the year. Do you guys look to fund any of that with the -- with dispositions?
Mark Kenney: Yeah. I think that there is definitely a vigor at CAPREIT to look at the assets that we own. We’re open to recycling capital. If -- there are certain markets where cap rates are -- have compressed significantly. And so our quest always create equity for unitholders and if we see an opportunity, then we would consider selling. I wouldn’t call it a material strategy, but it would be something that we are open to at CAPREIT now.
Jonathan Kelcher: Just some update in terms of non-core?
Mark Kenney: Yeah.
Jonathan Kelcher: And then, just lastly, Scott, you -- I think, you mentioned conventional mortgages competing with CMHC. What sort of rate and term are we talking about and what type of lender is doing that?
Scott Cryer: It’s more like the insurance lifeco groups that are doing it. But there are some other lenders in it. We’re talking really of various terms, like you can go short and three years and you can -- we’ve been talking about 15 and 20 as well. I am not going to say that it’s a slam dunk, as far as being cheaper than CMHC, but it’s depending on how you look at those CMHC fees over the term of the mortgage, it’s highly competitive and it’s nice to know that there is that backdrop. So, we’ll dip our toe into that -- into that area, there’s some advantages to it, especially on assets that we think have good upside, assets that are value add, that we may not want to kind of check on the CMHC fees in the first three years to five years. We might focus on those assets, but conventional mortgage is up.
Jonathan Kelcher: Okay. The…
Scott Cryer: So the rates -- the all-in rates are the base rate is higher, but when you consider the fees itself, they kind of economically are becoming pretty flat, in some cases lower and in some cases slightly higher.
Jonathan Kelcher: Okay. That is helpful. Thanks, guys. I’ll turn it back.
Operator: Thank you. Your next question is from Matt Logan of RBC Capital Markets.
Matt Logan: Thank you and good morning.
Mark Kenney: Good morning.
Matt Logan: Perhaps just following up on Jonathan’s question, can you talk about your leasing traffic and how your rent increases are trending so far in July and August? And maybe what your outlook is for the balance of the year?
Mark Kenney: Yeah. I would say that, you talked to us in the first quarter, which I know you did, we were predicting third quarter recovery. It started a little sooner than expected especially in those submarkets. But as expected, things are picking up. So, I wouldn’t have much of a change in tone for the fourth quarter. We’re definitely seeing things picking up, with -- like I said to Jonathan, the core -- Toronto core, Montreal slightly lagging.
Matt Logan: Okay. And maybe just changing gears, a question for, Scott, you recorded 13 basis points of cap rate compression in Q2. Can you tell us if this fully reflects what you’re seeing in terms of real-time transactions and if there’s potential for some further compression in the back half of the year?
Scott Cryer: Yeah. I mean, I think, we are conservative in our approach, obviously, in that cap rate and we, look, we have as many data points as possible. We really rely on our acquisition team, as well as third-party external valuators and our internal valuators. So, we have a lot of data points. I would say we’re on the conservative side. So, there could be some additional cap rate compression. I think based on transactions today, it’ll be interesting to see as interest or as income -- stabilized income increases, whether that’ll flatten out cap rates or not, but we would expect. The income side to actually be more of a contributing factor moving forward, you can see this quarter and last income really was flat from a fair value point of view. So it’s purely cap rate compression. So I think that dynamic will change kind of moving forward as well. But, yes, we still see some upside in the portfolio.
Matt Logan: And if we think about your investment in IRES, given the management changes, can you talk about what your plans are for that going forward?
Mark Kenney: Yeah. We’re very focused on helping IRES with their internalization efforts. At this point, we want that team to be successful. We obviously have a significant investment in IRES that we want to see well managed. Our focus going forward would be, as we’ve stated, our IRES platform and that IRES platform, I think, has a tremendous opportunity in front of that.
Matt Logan: And maybe the last one for me, just in terms of your dispositions, would those be more one-off in nature or other markets where you think cap rate compression has perhaps outpaced fundamentals?
Mark Kenney: Yeah. I would say the one-off in nature, like, the obvious thing to look at is future performance, when the value add perform portfolio, we look at capital investment requirement and what we think expected returns are. But there are some examples of, I’ll call it, balance sheet cleanup, where we’ve got offering leases, ground leases and other structures that are different that we would be open to cleaning up. The other thing is just opportunistic. So we’ve talked about some development opportunities of our smaller buildings in Toronto where without even entitlement, we’re getting development premium on potential sale. And if we can recognize cap rates that are less than 2, we would on a one-off basis consider disposition. But I would not call this a wholesale strategy of CAPREIT. It’s just an openness to capital recycling. We are the biggest in the country and we’re open to opportunity. But I wouldn’t call it core strategy. I would just say it would be one-off opportunistic.
Matt Logan: Well, I appreciate the color. Thanks, Scott, Mark. I’ll turn the call back.
Mark Kenney: Thank you.
Operator: Thank you. Your next question is from Joanne Chen of BMO Capital Markets.
Joanne Chen: Hi. Good morning.
Mark Kenney: Good morning.
Scott Cryer: Good morning.
Joanne Chen: Just sticking to the acquisition side of things, given how competitive the market is right now. You said, there’s lots in your pipeline, but how should we think about the magnitude kind of similar? You did have a pretty active Q2, but just wanted to get a gauge of what we should be expecting on the back half of the year?
Mark Kenney: Yeah. Great question. Like we continue to be very, very disciplined like the volume of acquisition shouldn’t be confused with the rigor and conservative nature that we applied to our acquisitions. Like we’re -- we lose a significant number of the bids that we make, because we have these really rigorous hurdles for accretion. Our focus will always be on growing the equity value in CAPREIT and doing accretive acquisitions where we don’t use leverage to make it happen. We model CAPREIT’s debt levels when we look at our acquisitions and we look at in-place income, and we’re very conservative with the growth expectations. So, all that being said, because we’ve got wide coverage on the country, we’ve been able to do between $500 million and $1 billion a year in the last couple of years, I don’t see much changed to that, but when you’re bidding on such a conservative way, it’s hard to predict your success rate, but we’ve seen our deal success rate be about 10% or more of the deals that we actually are bidding on.
Joanne Chen: Okay. That’s good color. Thank you for that. And I guess for the back half of the year, how should we think about occupancy trends? I know, obviously, it’s nice to see, and you mentioned, that the leasing momentum has continued post-quarter end. Just wondering if you can provide any color on the occupancy side of things?
Mark Kenney: Well, when the pandemic -- CAPREIT’s got a legacy of maintaining very high occupancy levels, you know that. But at the beginning of a pandemic, we didn’t know how long the pandemic was going to last. So we paid very close attention to occupancy and so now we find ourselves balancing occupancy with mark-to-market rents and the use of incentives. And it’s really managing those three lines that matter the most, while at the same time holding out for high quality applicants. So, I would say that you could expect improvements in both incentive use, occupancy and mark-to-market rents. We’re managing all three lines simultaneously.
Scott Cryer: I am saying that we always use in investor relations meaning, there was a housing crisis in Canada before the pandemic and we would expect similar dynamics to exist after. So just touch upon that
Joanne Chen: Okay. Maybe one last from me on, switching gears on the financing side of things, obviously, you guys have a very strong balance sheet and you just have the skill. I am just wondering long-term, would there ever be a scenario where you guys could look to perhaps access the unsecured market or do you think the pricing differential versus where you can get with CMHC just doesn’t make sense?
Scott Cryer: Yeah. We -- I would say, we look at that every couple of years. I don’t -- we’ve talked about ratings, we’ve talked about how we would structure. I think we’ve actually put ourselves in a position from our current facility and our unencumbered assets pool, et cetera, to do that if we ever saw that market really open up. But today, again, it’s still -- we just have a ton of runway with CMHC in those rates and then with conventional is actually becoming highly competitive. I would say it’s unlikely we go into the unsecured at this point. But we are planning our balance sheet just to always have those options available. So that was a big improvement with our credit facility and how we structured this year.
Mark Kenney: I would probably just add to that, that I think lenders such as lifecos have really created an unsecured kind of market in their lending practices. They see multi-family is incredibly stable. The pandemic has further emphasized how a -- what a highly desirable asset classes that we have. So, we’re just not reliant on it. And as Scott has said, this clear movement in the conventional market is testimony to the quality of the income, lenders see it. And so we’re very uniquely served by the fact that we don’t need that market because the asset class is so incredibly strong.
Joanne Chen: Great. Okay. That’s helpful. That’s it for me. I will turn it back. Thanks, guys.
Mark Kenney: Thanks.
Operator: Thank you.  And your next question is from Brad Sturges of Raymond James.
Brad Sturges: Hi. Good morning.
Mark Kenney: Good morning.
Scott Cryer: Hi, Brad.
Brad Sturges: Just to go back on your discussion about the different leasing strategies. I guess it’s fair to say within core locations you’re still using a little bit of incentive and trying to maintain occupancy well. In the suburban or submarkets you can probably be a little bit more aggressive on rate at this stage.
Mark Kenney: Yes. Exactly. Correct. Throughout the pandemic we’ve been trying to make markets where markets didn’t exist. Like if you have a university student focused buildings and the universities are closed you’re trying to make, which is very difficult during a pandemic. So, we’re seeing that ease off. It’s -- I’ve said to people just talk to your neighbors and your friends and look at your own family, and the kids that are under 30 are now starting to leave home. And it just -- it’s really just a temperature gauge on the area that they’re going to like is it safe. So when case counts are low, we’ve seen traffic activity pick up in that under 30 market. When case counts go up, we see traffic slowdown in that under 30 market. So it’s -- the primary drivers kids at home that are coming back and the secondary driver are the foreign students. And you put those two things together and you got a hot rental market before immigration.
Brad Sturges: For the back half of the year, do you still see turn over or your churn to be elevated?
Mark Kenney: Right. We do. We do. I think what we’ve said to investors directly is that the pandemic creates economic life circumstance change, good or bad, and when you have a bit of a dislocated economy, which we do right now, you get more turnover. And life circumstances change, decisions have been delayed in terms of moving, people don’t generally make moving decisions during a pandemic. That’s been part of our challenge. But I do see escalated turnover as predicted for the balance of 2021 and into 2022.
Brad Sturges: Last question, just on the acquisition front, do you, obviously, you have a rigorous process on completing deals. Do you actually see where you can get deals across the lines still more in kind of the secondary markets like Victoria or could there be some opportunities in some of the suburban big city markets?
Mark Kenney: Well, we’ve certainly been bidding on those suburban big city markets. Like I said, our success rates are pretty low, but our end result is pretty impressive. It’s hard to say, Brad, like, we -- like I said, we model what we model, we see value where we see it and sometimes others will pay up more. But I think you’ll see a bit of a mix. It won’t be like a trend where CAPREIT has moved its focus into a particular region, it’s that we’re covering the whole country and where we’re being successful are in the markets that we see great growth potential in that others haven’t focused on.
Brad Sturges: Great. I’ll turn it back. Thanks a lot.
Mark Kenney: Thanks, Brad.
Operator: Thank you. Your next question is from Matt Kornack of National Bank Financial.
Matt Kornack: Good morning, guys.
Mark Kenney: Good morning, Matt.
Matt Kornack: Sorry, I am going to take you back to mortgage stat question. But quickly on…
Scott Cryer: Never apologize for talking the finance.
Matt Kornack: I know, Scott. This is your time to shine. On -- for the financing costs to begin with, amortization of CMHC premiums and fees, I think, you noted that that’s something. But it was pretty substantial the increase. Is there anything onetime in that and do you make any FFO adjustments for it if it was onetime?
Scott Cryer: No. We don’t right now. Sorry, we don’t. We did when we adjusted our policy around writing off fees when we refinanced. So last year there was a significant amount of write-off, because we completed $1.4 billion in mortgages and we actually had some more material prepayment cost last year. This quarter again and actually going into next quarter, again, we have a huge refinancing program. We’re looking at total mortgages including acquisitions this year of $1.3 billion. So we’re almost back to last year’s unprecedented amount of financing. So those write-offs are definitely more significant in Q2, Q3. It would be the expectation, but normalized, it should decrease over time. And then as well, we’re moving at 2035 year end mortgages all last year and this year, we’ll begin from 2035 year end. So the amortization of those premiums will decrease a little bit over time.
Matt Kornack: Okay. So, would you say, I mean, it was what $3.6 million for the quarter, but it looks like it’s been kind of around the $1 million, historically. So it -- should we say that that delta is mostly related to the refinancing activity?
Scott Cryer: I would absolutely say that, yes.
Matt Kornack: Okay. Fair enough. And then, maybe more on strategy, and then, again, back to the conventional mortgage question. Do those guys look at you as CAPREIT as being an attractive entity to lend to? So, I mean, there’s a covenant and counterparty issue there? I am just wondering, because obviously, some of the private guys got squeezed on CMHC and the ability to finance. But would a lifeco lend to a smaller private owner or is it just because CAPREIT is such a good credit that they’re interested in providing this financing to you?
Scott Cryer: No. That’s a great question and that’s kind of something we’ve talked about with them. It’s definitely asset first mentality. They’re going to provide financing at cheaper rates to the better asset in our portfolio. So that is the covenant will help on the margin, but it’s not the driver. So, I mean, we still think it does help and that will be a slight competitive advantage, but it’s actually probably good for the private markets as well, which we’re okay with. That just means cap rates continue to be competitive and our portfolio maintains its value. So, yeah, it’s assets first, but the covenant helps on the margin, for sure.
Matt Kornack: Okay. Perfect.
Mark Kenney: I would just -- I would add to that, that what we’re seeing is the lifecos are truly investing in apartment buildings. Like, Scott said, city center they liked the best and location driven. But also, the fact that we’re such a low leverage borrower, we think we’ll have even more interesting attribute for them. So we’ve traditionally managed our book obviously through refinancings and acquisitions. But where we can offer opportunities of low leverage there may be even better opportunity in those major market assets. So, look, this is not a major strategic move for CAPREIT. This is just great news coming into the conventional market. I don’t see an opportunity for us to significantly change the balance of our financing program out of CMHC. It’s very, very important program to us. But it’s just good to see, as Scott said, an alternative out there that’s attractive.
Matt Kornack: Sure. No. That absolutely makes sense and the fact that I am asking about it speaks to the fact that your portfolio is pretty stable. So take care, guys.
Mark Kenney: Yeah.
Matt Kornack: Have a good summer.
Mark Kenney: Great. Great. Thanks. You too.
Operator: Thank you. Our next question is from Mario Saric of Scotia Capital.
Mario Saric: Hi. Good morning.
Mark Kenney: Good morning, Mario.
Scott Cryer: Good morning.
Mario Saric: Just wanted to come back to the relationship between occupancy and incentives, and I think Mark on past call, you mentioned that, didn’t matter what the incentive was during the depths of the pandemic. It was largely irrelevant it wouldn’t impact tenant behavior. How would you say or how sensitive are the prospective tenants in some of the less robust markets that you referred to today to incentives, like how important are incentives to the closure rates today?
Mark Kenney: Good question. I don’t know that we know the answer. The reality is when there’s low traffic you’re just trying to take the limited traffic that’s in the market to your asset. So I don’t even think it’s tenant behavior or resident applicant behavior. I think it’s just trying to get attention of those very few shoppers that are out there where you’re trying to make a market. I keep the easy example is are these universities that are relying on foreign students and if those buildings have historically targeted that market, it’s hard to make a new market. So, I would answer it by just saying, it’s all, like I said in the beginning, we’re managing all three lines, incentives, occupancy and mark-to-market rents, and it’s all being derived out of market traffic and conversion rate. So where we see traffic and conversion rate, we make adjustments. But it is coming off and CAPREIT has this legacy. We don’t like incentives. The goal and the expectation is that we would be out of the incentive game completely. It’s my hope by beginning of 2022. I’d be shocked if we weren’t and get back to just mark-to-market rents and occupancy management.
Mario Saric: Maybe a difficult question to answer but just as a follow-on, your occupancy this quarter was 97.4%. How much occupancy do you think you’ve saved on the provision of incentives during the pandemic?
Mark Kenney: Well, Scott, did some interesting math, and I think, Scott, you can correct me if I’ve got the number wrong.
Scott Cryer: Yeah.
Mark Kenney: But our incentives equated to approximate 1% of vacancy loss.
Scott Cryer: Yeah.
Mark Kenney: So if we do that and you blend those two things together, it was an incredibly prudent investment. So CAPREIT I believe did an exceptional job. The team did an exceptional job of maintaining and converting traffic that was out there. And when you shave a percentage point off and you look back to how we did, I think, we did remarkably well.
Mario Saric: Clear. That sounds really interesting. That’s a good color on that. More of a theoretical question, I think, I guess, coming into Europe, Ireland and in the Netherlands, your kind of expertise in Canada was really touted in terms of setting up those structures and that’s gone of really well, as you pointed out earlier on. Would you say there’s anything that you’ve learnt in Europe that from an operational perspective, you can take back to Canada coming out of this pandemic to improve the overall kind of wide growth going forward on a structural basis?
Mark Kenney: Well, we would love to bring back their debt, that’s quite impressive. Scott -- I think, Scott, what did you just do over there? Was it 0.9% debt, I mean…
Scott Cryer: Yeah. Under 1%. Yeah. Exactly.
Mark Kenney: Under 1%?
Scott Cryer: But to answer your question, Mario, like, what we know, it’s not really what we can bring back to Canada, it’s what we’ve learned and confirmed in our story. So CAP -- as CAPREIT went province to province through our growth, we realize that you’re just managing cultural, regional differences, but the business is exactly the same. There’s actually no difference in the business anywhere in the world that we’ve seen so far. It’s really just managing those cultural and regulatory differences, and understanding how they function. So our thesis was by going to Europe, we were just really going to another Canadian province and that turned out to be exactly true. So, being sensitive to the cultural and regulatory and market dynamic differences in different countries is really just moving outside of the Canadian border and doing the same thing. And a lot of people forget, we had an experiment in the U.S., where we took on a manufactured home business for a period of time of management and we proved it there too. It’s bringing the CAPREIT systems and keep bringing the CAPREIT culture and bringing the CAPREIT management structure to these markets. We know it works and it works best in regulated markets.
Mario Saric: Yeah. Okay. My last question, again, more of a high level question. You probably heard the term beds in sheds thousands of times in the past 12 months in terms of very strong institutional appetite or private market appetite for multi-family residential and industrial. We’ve seen kind of a big uptick in industrial transactions in North America take place with larger portfolios. Now there have been some on the private side in Canada. What do you think, broadly speaking, pertaining just to CAPREIT? Like what do you think broadly speaking is preventing some of the larger institutions globally from investing more in Canadian multi-family residential or what you think we’re seeing in there?
Scott Cryer: I think that at the end of the day, we -- everybody wants to talk about international appetite. But the reality is, when you look at Canadian multi-family the market’s been driven primarily by Canadian pension funds on the acquisition front. Like, those Canadian pension funds aren’t labeling themselves. They’re going through a variety of different structures. But that is the true driver of cap rate compression and interest in multi-family in Canada. I think that, that appetite, which has been primarily, I guess, driven by the interest rate environment has driven a lot of private investors out and there’s certainly is a wall of, I am going to say, primarily Canadian capital to address properties coming to market. But I think at the end of the day, you need a Canadian platform that really understands Canadian multi-family to address Canadian opportunity. And again, I use that word quickly there, that regulation. This is a big part of it. You have to really understand how to navigate in the regulated market. And if you don’t have that experience or understanding, it’s not just an asset class that you can move in to, that’s easy, because there’s high demand. This is a month-by-month, as you know, Mario, business, where things can slip quickly if management isn’t there. It’s high, high intensity management business. So, is it the right platform? I think that’s going to keep foreigners cautious.
Mario Saric: Got it. And I guess, indirectly and now we highlights the value and importance of that operating platform.
Scott Cryer: You’ve always recognized that.
Mario Saric: Right. That’s great. Thank you for the color.
Scott Cryer: Yeah. Thank you.
Mark Kenney: Thank you.
Operator: Thank you. We have no further questions at this time. I will turn the call back over to Mark Kenney for any additional or closing remarks.
Mark Kenney: As always, I’d like to thank everybody for their time today. If you have any questions, please feel free to reach out to Scott or myself. And again, thank you for your time and have a great day.
Operator: Thank you. This does conclude today’s conference call. You may now disconnect.